Operator: Good morning, everyone, and welcome to the MGM Resorts International First Quarter 2017 Earnings Conference Call. Joining the call from the company today are Jim Murren, Chairman and Chief Executive Officer; Dan D'Arrigo, Executive Vice President and Chief Financial Officer; Bill Hornbuckle, President; Corey Sanders, Chief Operating Officer; and Grant Bowie, CEO and Executive Director of MGM China Holdings Limited. Participants are currently in a listen-only mode. After the company's remarks, there will be a question-and-answer session. Please also note that today's event is being recorded. At this time, I'd like to turn the conference call over to Mr. Dan D'Arrigo. Sir, you may begin.
Daniel J. D'Arrigo - MGM Resorts International: Thank you, Jamie. And good morning and welcome everyone to the MGM Resorts International first quarter 2017 earnings call. This call is being broadcast live on the Internet at www.mgmresorts.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial measures in the press release, which is also available on our website. Please note that our supplemental earnings deck is posted on our website, which we hope you will continue to find helpful. Finally, this presentation is being recorded. And with that, I'll turn it over to Mr. Jim Murren.
James Joseph Murren - MGM Resorts International: Well, thank you, Dan, and good morning, everyone. We started of the year in 2017 very well, and I think that the first quarter results further demonstrates the power of the MGM platform and the strategies which we talked about and have executed upon. Also, the strength of the markets in which we operate and many of the investments that we have made. I'm really pleased to announce that these earnings on an earnings per share basis tripled in the first quarter. And our net revenue and adjusted EBITDA grew 23% and 36%, respectively. On a same-store basis, our domestic resorts grew net revenue and EBITDA by 6% and 15% respectively, driven primarily by continued strength here in Las Vegas. Borgata, which we consolidated into our portfolio last year, had an excellent quarter, and National Harbor is off to a great start in its first full quarter of operations. In Macau, MGM China's strong results continued to demonstrate our ability there to consistently outperform our fair share in that very dynamic market. First, here at home, in the first quarter in Las Vegas, we achieved Strip revenue and EBITDA growth of 7% and 17%, respectively. We really are executing across all segments of our business including hotel, casino, food and beverage and entertainment. The quarter, of course, was aided by a strong convention business calendar and a favorable Easter calendar shift. But we also continued to drive margin improvement while delivering consistent quality experiences to our customers. In the first quarter, Strip margins grew 290 basis points to 33%, driven in part by strong revenue growth and our company-wide continuous improvement efforts to maximize the profitability of our business. Table game hold was modestly above our normal range. Our normal range is of between 21% and 25%. Also in the first quarter, if you recall, we guided to a 7% Strip RevPAR. We ultimately achieved 8.6%. Clearly, the quarter benefited from CON/AGG and that calendar shift. However, even excluding these benefits, we would have grown RevPAR by approximately 4% in the first quarter. And this is due to the execution of the strategies we've discussed building a very strong convention base and maximizing all of our other channels including a good mix shift into FIT in the quarter. CityCenter had an exceptional quarter. Both Aria and Vdara produced an all-time record quarter in revenue, EBITDA and margins. Aria ended the quarter just shy of $100 of EBITDA and margins of 36%, and they're nipping at Bellagio's heels. Bellagio had margins of 38%, so, of course, it's nice to say that Bellagio and Aria are clearly the market leaders here in terms of efficiency, margin, productivity, and Aria and Bellagio obviously continue to be top-performing assets within Las Vegas and, of course, the MGM portfolio. This year the CityCenter board capitalized on these strong operating results to execute a dividend refinancing of the property. In April, CityCenter distributed a total of $600 million of ordinary and special dividends to its sponsors. To put this in perspective, over the past three years, CityCenter has paid out over $2 billion of dividends to its shareholders and remains very well capitalized with very prudent leverage and attractive free cash flow. We're looking for further opportunities to grow and further opportunities to use our product offerings to maximize our ability to drive guest experiences. We're obviously ahead of the curve when we expanded the Mandalay Bay Convention Center. That's already delivered significant returns to us and have allowed us to grow our group business. Aria is slated to open its 200,000-square-foot convention space expansion by early next year. And we're now in a position to begin working toward expanding MGM Grand's conference space. We're actually also looking at exploring some space here at Bellagio as well. And work is progressing with the Sydell Group on the transformation of Monte Carlo to Park MGM and NoMad. We took our first step in December when we opened our 5,200 seat park theater and we will continue to rollout these new guest experiences and amenities, including a completely remodeled room product throughout this year and next. We've also been working to work with our partners to find the best and most profitable outcomes for our results. We did this recently with Topgolf bringing an innovative and complementary entertainment concept to MGM Grand and the city, and we're going to do this again with an experience with Allied Esports in converting Luxor's nightclub space into the first Esports arena on the Strip. Partnerships are not new to us. It's something we actually excel at and none is better evidenced in my mind than when we teamed up with AEG to create T-Mobile Arena. We just celebrated its first anniversary and it has already set new standards for not only venue design and amenities, but it is one of the busiest arenas in the world, validating our investment and our partnership with AEG. In fact, we just recently announced a long-term content deal with UFC and we're all looking forward to welcoming the city's first professional sports team, The Vegas Golden Knights, this fall. Entertainment continues to be a key driver for our company and the primary reason people visit our resorts. And our forward calendar this year is shaping up well across all of our larger scale venues in the United States. And with T-Mobile and the new Park Theater, we're on-track to more than double the number of shows hosted in our large scale events this year versus last year. Over on the East Coast, MGM National Harbor completed its first full quarter of operations and we are very pleased with how the property is performing overall. We finished the quarter as the market leader, commanding a 30% share in the region and the only property in the region with a fair share of premium. Our table games are performing very well, with a win per unit per day of over $5,800, and poker is also running ahead of our expectations. Slots are doing well as well, with a $261 win per unit per day in the first quarter. And we believe that there's substantial opportunity to grow this as we optimize our slot floor and leverage our targeted marketing efforts. And like any new property, it takes time to ramp-up that floor and build our database. But that said, we are pleased that we have added over 240,000 new members to our M life Rewards program. And we're very encouraged by the consistent pace of the sign-ups we continue to see. We know that we're off to a good start there, but we see opportunities to continue at National Harbor to grow revenue, grow margins and grow cash flows and we intend to do so. Over in Atlantic City, Borgata posted another great quarter and is the undisputed leader in the market. In fact, they had a record March in slot revenue and continue to post strong top-line numbers. We're extremely pleased with how the acquisition has worked out for MGM Resorts and MGP. And our team at Borgata has done an outstanding job. That team and our teams across our company have been working seamlessly on the transition to our M life loyalty program which will be done this summer. And we believe that will positively impact both Borgata and the Las Vegas properties with cross-property play. There may be some downtime because of the transition to the current rewards – from the current reward system to M life. But we've done this before and we expect to be able to minimize that disruption to our customers. In Macau, MGM China reported a great first quarter with revenues increasing by 7% year-over-year and EBITDA increasing 25%. MGM Macau continues to capture more than our fair share despite the new competition in this very rapidly changing marketplace. We continue to see growth and opportunity in our mass business supported by premium mass. And we remain optimistic about the market's recent uptick in VIP. Grant's on the line, and of course, he'll be available to talk about that. We're progressing on the construction of MGM Cotai as we look forward to the opening of that second resort, our second resort in Macau, which we will open later this year. It will have roughly 1,400 hotel rooms and suites, great meeting space, spas, retail offerings, a very diverse lineup of F&B and Asia's first-of-its-kind theater. The entertainment component alone, we believe, will help drive greater diversification in the market and bring Macau further into this diversification of hospitality and global tourism. So, looking ahead into the current quarter, our second quarter, this as we've been saying for a while, will be one of the toughest comparisons we have this year given the Easter calendar shift in April, and that's going to impact convention room nights. Our second quarter of 2016 also benefited from higher-than-normal table games hold. It was specifically 25.6%. And as a result of those two factors, we believe our Strip revenues will be about flat, relatively consistent with the second quarter of last year, with casino revenues likely being down slightly and non-gaming revenues being up. And we're projecting Strip RevPAR to be up 1.5% to 2.5% against that tough comp. And margins will be probably essentially flat from a year ago. We continue to expect our full-year targets to remain, as we've said, unchanged. We expect that we can achieve Las Vegas Strip revenue growth of the low to mid-single digits. We think that our RevPAR will grow 4% or 5% for the year. We expect margin improvement this year of 50 basis points to 100 basis points versus where we ended up in 2016. And the macro picture here in Las Vegas, fortunately, continues to bode favorably for everyone here especially given the limited expected supply growth, the very healthy convention and leisure demand, and the overall strength in the U.S. consumer. We've had a clear vision for this company since I became the CEO. And with the execution of those strategies over the past many years, this vision has come to fruition. We are the premier owner operator of some of the best entertainment assets in the world. We have transformed this company from the inside-out to fully embrace a one company, one culture mindset to leverage our scale and the high standards for excellence and to continuously elevate our business. We have developed the culture of continuous improvement that has allowed us to provide growth opportunities to the best talent we have in our company and to become the employer of choice in this industry for newly recruited talent, and we have developed talent from within. We have a very deep bench of highly experienced people that have been promoted and are driving innovation. And we constantly strive to optimize our company structure with these long-term sustainable benefits in mind. We're very excited about the fact that our free cash flow prospects this year and beyond are so favorable. We're moving out of a development stage and into this operation stage, and we believe that will substantially increase our free cash flow. We're going to maintain a strong balance sheet. We are disciplined in terms of capital allocation and returning value to our shareholders will continue to be the top of the board and the management's priorities. Every decision that we make is deliberate and centered around this vision. And we will continue to do so going forward as we build upon this organization and build upon our competitive advantages in Las Vegas, Macau, our regional markets, or anywhere else across the globe where we will call home. And with that, operator, I'd like to turn it back over to you, so we can get to the Q&A.
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. And our first question today comes from Harry Curtis from Nomura Instinet. Please go ahead with your question.
Harry Curtis - Nomura Instinet: Hey. Good morning, everyone. There are a lot of places where we could begin, but I wanted to start with Cotai. A question we get often is what's behind the delay. And is it systems? Is it construction? Are you reconfiguring it in one way, shape or form, particularly given how the VIP numbers have started to lift? Grant, if you could just give us some sense of where this is going, particularly on the marketing side, as you open?
Grant R. Bowie - MGM China Holdings Limited: Okay. Well, I think, everyone understands building anywhere in the world is complicated, and I think everyone have seen from all the other operators it's probably just as complicated in Macau. We're very, very committed to making sure we do something different. We need to be bringing something unique into the market, and that's really the crux that – the key aspect for us. And we've said it quarter-after-quarter, it's about getting it right. Picking up on your point, Harry, about the VIP, yes, it's starting to move, that seems to be positive. There is an uptick with civil operators, and I think we've consistently heard that. I just want to reiterate though that in terms of our mass business, ours is continuing to be very strong, very important for us that we manage that portfolio. With only one operating business unit at the moment, that does put us into something of an advantage. But the critical point is that we are starting to build out the combined business unit strategy between Macau and Cotai. And we will be launching in the not too distant future, a very significant marketing program that starts reinforcing and building on that brand values that Jim was talking about in the presentation. That's what's critical for us, is making sure we get the property right, get the messaging right, get all of the activities that we need to put in place. Specifically with VIP, I'm very comfortable now that we have got in the pipeline some additional VIP operators that will be new to us coming into our property in Macau. And so, that's all part of building out this whole MGM Macau presence, rather than just simply saying Cotai property or Macau property is really important to us. Is that sort of the direction you're looking for, Harry? Is there anything else I can add?
Harry Curtis - Nomura Instinet: That's very helpful. It's – there'll probably be some additional questions on that. But I wanted to move over to Dan. I had question on a new slide that you presented, page 24, when you discussed free cash flow. And, Dan, can you give us a sense of as we get deeper into this year, your perspective of how your domestic free cash flow is likely to evolve?
Daniel J. D'Arrigo - MGM Resorts International: Well, sure, Harry. Look, what we tried to do at 24 is give the investment community, kind of the building blocks of that domestic profile and look of how all of the pieces are coming together to give you better perspective of that sources and uses more or less. So, that's what 24 really gives folks. It isolates the domestic group apart from MGP and MGM China. And I think as we continue to move throughout the year, as Jim mentioned earlier, and move beyond our development cycle here with the close-out of National Harbor, obviously, we'll be finishing this year and next year, Springfield, and getting that opened by September of next year, we'll be heavily out of that capital intensive development cycle and see our cash flow – free cash flow continuing to improve and grow as not only we grow operationally and maximize our profitability at our existing properties. We bring on Borgata for the full year, continue to ramp-up National Harbor and the lowering of the development capital will just have a profound impact on growing our free cash flow profile starting this year and into next year.
Harry Curtis - Nomura Instinet: But can you – I guess, as a follow-up, can you discuss the timing or the pacing of how your CapEx actually winds down this year and next?
Daniel J. D'Arrigo - MGM Resorts International: Well, sure. I mean, obviously, we've laid out what our capital plans are in terms of not only our maintenance and our same-store property growth capital, but our project plan. So, I think, we have about another $80 million-ish to close out National Harbor's construction cost. We'll spend about $240 million, $250 million this year in total for Springfield and a little less next year in completing that property. I think, it's around $230 million, $240 million for Springfield next year. But those are really the only two remaining large pieces of capital. And then, of course, from time to time, you're going to see kind of us pulling on the various levers and opportunities we have much like you saw here in April with our ability to bring $300 million back into this restricted group from CityCenter. So, it's going to continue to build. It will be a little bit choppy because of some of those positive effects like CityCenter coming in from time to time and future dividends from Macau as Grant, Bill and our construction team bring that project to its completion later this year and ramp up next year. I would expect those dividends to pick up in 2018 and 2019 as well. So, there's a lot more of positive inputs coming in over the next two years than just the incremental free cash flow on a same-store basis.
James Joseph Murren - MGM Resorts International: And Dan – maybe just to add to that, Harry, I think, you're just focused on CapEx. So, just if you looked out the last – next three years or four years, our CapEx is $400 million, $500 million a year.
Daniel J. D'Arrigo - MGM Resorts International: Yes. I think, this year – for our properties, it's about $540 million this year which is inclusive of the Park MGM and NoMad...
James Joseph Murren - MGM Resorts International: Right.
Daniel J. D'Arrigo - MGM Resorts International: – construction which is probably a couple hundred million in that number, this year alone.
James Joseph Murren - MGM Resorts International: Right. But I means if you were going to model out over the next three – I mean, if you're doing like a three year or four year model, you're going to figure CapEx is no more than $500 million a year.
Daniel J. D'Arrigo - MGM Resorts International: Right. Yeah.
James Joseph Murren - MGM Resorts International: And we have no projects of any material nature like Springfield or National Harbor on the horizon.
Daniel J. D'Arrigo - MGM Resorts International: Beyond 2018, that's right.
James Joseph Murren - MGM Resorts International: So, we have – and in that $400 million, $500 million a year is all our room remodels, all the refreshes, expansions to convention centers. All the areas that we spend money on to continue to grow our market share and our market. So, that's what I was trying to allude to Harry is that we just had a major capital finish at National Harbor that's tailing out right now. We're going to finish Springfield, and there's no new project down the horizon in the United States and we like what we own. And so, we believe with our operating revenues and cash flows growing and our CapEx to be completely controlled by ourselves and very definable, that's where you lead to – even before dividends, that's where you lead to rapidly accelerating operating free cash flow.
Harry Curtis - Nomura Instinet: That's great. Thanks, guys. Appreciate it.
Daniel J. D'Arrigo - MGM Resorts International: Thanks, Harry.
Operator: And our next question comes from Joe Greff from JPMorgan. Please go ahead with your question.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, everybody.
James Joseph Murren - MGM Resorts International: Hey, Joe.
Joseph R. Greff - JPMorgan Securities LLC: Maybe this is a question for Corey, but whoever wants to answer it. Can you talk about how next year's convention room night on the Las Vegas Strip look? And if you want to talk about it in terms of pacing versus a year ago, and maybe you can talk about it both with and without the impact of this year's CON/AGG CONEXPO?
Corey I. Sanders - MGM Resorts International: Sure, Joe. It looks pretty big and similar to few years ago when CONEXPO rotated out. We actually are in a similar spot to where we are this year. We're a little bit behind in the first quarter, but we're really comfortable that we'll be able to fill that spot there for CONEXPO. But in general, the rest of the quarters are actually looking very comparable to where we are today.
Joseph R. Greff - JPMorgan Securities LLC: And the pricing for those room nights versus this year?
Corey I. Sanders - MGM Resorts International: Yeah. Pricing – we continue to be able to raise prices in this segment, so it's up.
James Joseph Murren - MGM Resorts International: Yeah. And, in fact, Joe, I mean, right now, we have NAB, of course, in town, right? Corey and Bill, Dan? It's performing extremely well for the market. Well, I could say it's performing extremely well for us and probably for the market. So, here we are in the second quarter. That's doing well. I was with the CEO of a very, very large tech company yesterday, and he's looking to move more business to Las Vegas from another state in the United States. So, there's a lot of untapped potential for the market, which will benefit our competitors, ourselves, and the convention center at large.
Joseph R. Greff - JPMorgan Securities LLC: Great. Thank you. And then maybe this is a question for you, Jim, and, Grant, over in Asia. Obviously, we're not seeing it so much in the 1Q here but – and I asked this question last night on another gaming conference call. Are you starting to see any signs of the Chinese consumer returning to Las Vegas, and do you think what's going on maybe some of the dynamics in China and Macau are actually encouraging those players to stay closer to home in Macau? Thank you.
James Joseph Murren - MGM Resorts International: You want to tackle that, Grant?
Grant R. Bowie - MGM China Holdings Limited: Sure. I'll start. I think, Joe, what we're seeing, let's start to talk about China itself. If you start looking at consumer trends in China, there is clearly momentum building in the consumer products market. If you look at some of the areas that the Chinese use as their own indicators, they're starting to improve. There's starting to be some momentum. We're clearly starting to see it coming into Macau, and that's all very positive for us. And I think to your point about geopolitical issues, I think that hopefully that those people within China will play within China. But I think, if they're going to travel, and obviously that's probably something that Jim and Corey and Dan, et cetera, can have a view on, but they're also seeing the United States as a positive destination, too. So, all of the indicators at the moment within China are positive. And I see most of the issues that we see in the world being positive for Macau, certainly.
Corey I. Sanders - MGM Resorts International: And, Joe, here in Las Vegas, as we pointed out, I think, it was last fall, we started to see players coming back into the market. The most recent data point is really around Chinese New Year. So we had a really good showing around Chinese New Year with our customers in terms of numbers and volume up this Chinese New Year versus last year. And as you recall, the last couple of Chinese New Year's periods, we're actually down and we were down double-digits against each of the prior years. So, we have seen that pick up recently with respect to play coming out of China and Asia, broadly speaking, which is a good sign.
Daniel J. D'Arrigo - MGM Resorts International: And I would say, Joe, on our bigger customers, the people like 50,000 and above, the number of trips are actually up in the first quarter for that region.
Joseph R. Greff - JPMorgan Securities LLC: Great. Thank you, guys.
James Joseph Murren - MGM Resorts International: Thanks, Joe.
Operator: Our next question comes from Carlo Santarelli from Deutsche Bank. Please go ahead with your question.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey, guys. Thanks. Good morning. Jim, I think you laid out pretty clearly the second quarter and some of the challenges there. I wanted to talk a little bit about what is actually the toughest comp quarter of the year, the 3Q? And maybe, Corey, if you could help better frame or help us better understand the influence of having that Microsoft business in the quarter? And in a period with a lot less visibility, what it's like to have 4% or 5% of your room nights, kind of on the books already with that. And what it may allow you to do with pricing?
James Joseph Murren - MGM Resorts International: Hey, Corey, do you want me to start?
Corey I. Sanders - MGM Resorts International: Yeah.
Daniel J. D'Arrigo - MGM Resorts International: He's referring to Corey.
James Joseph Murren - MGM Resorts International: He said Corey, but I'll start. You know, it's – when we were more concerned about the third quarter that was before we had the Microsoft business on the books. That clearly helps us profoundly in the quarter in terms of not only the business itself but, as you suggest, how we can plan around the rest of the market. We had a very, very strong third quarter, that's why it is a challenging quarter. But we're seeing, and I was with Mike Dominguez yesterday with this very large tech CEO, and he's seeing some business coming into the third quarter, not only because Microsoft is going to be here, we're getting some ancillary business that's being booked, but also just general in the quarter, in the year, for the year for the quarter. So, yeah, tough quarter, tough comp but we did better than we thought in the first quarter, as I said, that April here, NAB is better than we predicted, it's sort of good bellwether even though there's a tough comp this quarter, we are seeing good growth and we're just going to do our best. We've been outperforming our expectations, and we're just going to do our best in terms of the convention side. One thing I alluded to, and maybe Corey can get in more specifically, is our mix shift, one of the things that helped us in the current quarter, right, Corey, is shift out of leisure into FIT?
Corey I. Sanders - MGM Resorts International: That's right.
James Joseph Murren - MGM Resorts International: So, how that's going to look, Corey?
Corey I. Sanders - MGM Resorts International: Over the last few quarters, we've been really focused on that. We actually shifted probably about 2% into that FIT channel. We haven't talked about this in a long time but, actually, the premium in that channel compared to the leisure channel, could be anywhere from $30 to $60 depending on the season of the year. So, with the convention base, it allows us to do it. When you look at Microsoft has done for us now in the third quarter, we're actually ahead of convention room nights on the books compared to the prior year now with that. So, it's allowed us to solidify our base. Our convention rate actually is a little higher now which should hopefully allow us to yield our rates up a little better than normal. Just as a reminder, summer times are – there's peak times when there's decent convention business, and where there's not, it's a – we'll always fill the rooms but the rate's always a little bit of a challenge.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Right. Great. That's very helpful. Thank you, guys. And then if I could just one follow-up, Jim, you talked a little bit earlier about capital returns and, obviously, as you look at the free cash flow profile over the next 12 months, 18 months, 24 months, there is clearly going to be a lot of discretion with your cash going forward as you – especially once Cotai is open. How do we or how do you guys right now – if you look at it right now, 24 months out, how are you kind of thinking about the buyback? Obviously, dividend in place as of last quarter and other kind of capital returns, or capital needs for things that maybe haven't necessarily come to fruition yet in terms of projects or expansions?
James Joseph Murren - MGM Resorts International: Sure. We spend probably, Dan what – I would say the majority of the discussions we have at the board level is that over the past several years, we've been good forecasters internally of our business. We've laid out a rolling five-year plan to our board over the past many years. And fortunately for us, we've been executing on that five-year plan. So the board is – this is not a new discussion to the board. We've discussed what we're going to do and how we evolve our investment decisions as we go from 2014 to 2015, 2015 to 2016, 2016 to 2017 and beyond. And it is the board's belief that we have high confidence in where our numbers are going over the next three years. We see our competitive position in our marketplace. We think we have a better understanding than most of the macro dynamics within the markets in which we currently operate. We are very confident in our property positioning. We have no looming capital needs, no deferred maintenance, no projects that we put on hold that need to be jumpstarted. Our capital spend is very well defined, and will be very, very highly scrutinized by our board over the next several years. We have no interest in building for growth's sake, and we have no interest in expanding for expansion's sake. We like what we own. We like the markets that we're in. And in order for us to get attracted to anything else it has to be outsized in terms of its potential return to shareholders. So, with that in mind, if we know where we are in a market – in all our markets, and we know very clearly what we believe our capital expenditures will be, and we have this stated goal of being in the 3 to 4 times leverage range, which we're knocking on that door, then the logical discussion evolves to what you do with that excess free cash. And we concluded that the first best use of that was to institute the quarterly dividend and expect that that dividend will grow over time. But share repurchase clearly has been something we've discussed at the board level for three years. It is not a matter of if we are going to do that, it's a matter of when we do it. And I would say that a board as engaged as ours, that spends as much time on this as our board does, that meets us often as we do a year, about eight times a year, we will have constant updates for you. As of right now, here in April, we believe that our path is well-understood and that we are using the cash that we have appropriately. And that share repurchase today, this day, is not the right idea. But, we do believe that it is our job to return the capital that we are generating to our owners. And that's going to be making sure that we grow our revenues and cash flow. Making sure our competitive advantages are there. Making sure that we have a fortress balance sheet that will protect us against any unforeseen event. And making sure that we have the ability to return the capital in the form of dividends and share repurchase in the future.
Carlo Santarelli - Deutsche Bank Securities, Inc.: That was very thorough. Thank you very much, Jim. Thank you.
James Joseph Murren - MGM Resorts International: Thanks, Carlos.
Operator: Our next question comes from Thomas Allen from Morgan Stanley. Please go ahead with your question.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey. Good morning. Just on the regional properties, I was impressed by the flow through at both Detroit and Borgata. I'm wondering, are you starting to roll out programs there? Are you just starting to roll out programs there? And then on National Harbor, is there an opportunity on margins there?
Corey I. Sanders - MGM Resorts International: So, on Detroit, they've been rolling out programs consistently with our PGP initiatives. And there's still some opportunities there. They're probably a little bit behind. With the Borgata acquisition, we've matched up all our initiatives with what they could potentially achieve. And yes, we are seeing results from those in the first quarter. And we expect to see results from them throughout the year.
Daniel J. D'Arrigo - MGM Resorts International: National Harbor.
James Joseph Murren - MGM Resorts International: National Harbor – margins?
Corey I. Sanders - MGM Resorts International: On National Harbor margins, yeah, we think there's a lot of opportunities there to improve them, stabilize. The workforce is stabilized now which is a positive thing now. It's matching forecasts with volumes and implementing some PGP initiatives there that we probably delayed for their opening to make sure that they could execute for their opening.
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful, thanks. And just as my follow-up. It was helpful, the new slide you put in showing the hold adjustments. But one thing that stood out was that you had five quarters in a row of high hold. Did you think about thinking of maybe increasing the theoretical hold?
Daniel J. D'Arrigo - MGM Resorts International: Well, Thomas, this is Dan. We've looked at it and we studied it and obviously it'll be something we continually look at. We feel comfortable that 21% to 25% is the right range. And obviously, it'd be something we continue to evaluate. A lot of the initiatives and a lot of the approach that we've taken over the past 18 months to 24 months with respect to how we drive profitability in our table games business is driving some of that increase, and we'll continue to monitor that, but based on the work that we've done thus far looking at the past couple of years, 21% to 25% seems to be the right range in terms of that hold percentage.
James Joseph Murren - MGM Resorts International: Yeah. If you went back five years, you would say, you shouldn't change the range.
Daniel J. D'Arrigo - MGM Resorts International: Yes. Yes.
James Joseph Murren - MGM Resorts International: So, we get the point. We're going to watch it, quarter-to-quarter, but we did a lot of work on this and we've gone back over the last three years to five years, and that's a right amount of range. We might be able to tighten it up and, hopefully, move it up at some point.
Thomas G. Allen - Morgan Stanley & Co. LLC: Great. Thank you.
Daniel J. D'Arrigo - MGM Resorts International: Thank you.
Operator: Our next question comes from Felicia Hendrix from Barclays. Please go ahead with your question.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thanks. So, guys, so realizing that your 2017 EBITDA guidance provided at the Investor Day is old news, given everything that's happened since then. I was just hoping you could frame for us how you're thinking about full-year EBITDA now year-over-year? Should we expect to see growth year-over-year? I just think it would be helpful if you could give us a bridge as we think about that particularly given that the second quarter could be kind of flattish and then there was also the gain on sale on assets which makes for a tougher comp?
Daniel J. D'Arrigo - MGM Resorts International: Well, sure, Felicia. I think, when you look at our full year, and the guidance and color we've given, we do believe that for the full year, we'll be able to grow low to mid-single digits on the top line and improve our margins by 50 basis points to 100 basis points. So, that would put us in kind of the 30% to 31% range overall in terms of our margins. That's adjusting for some of the ins and outs from the prior year as well as really kind of normalizing the hold overall as we look at our Strip performance and the guidance we've given for 2017. Probably one of the bigger deltas from the Investor Day is really the timing of MGM Cotai as when we're putting those models together last year for the Investor Day, Cotai was still on target for an early 2017 opening. And, obviously, with the later opening, that pushed that timing out and that impact to the model. That's probably the biggest singular change. As always, ins and outs and odds and ends. But we feel pretty good that here in Las Vegas, we'll be able to continue to grow and maximize the opportunity here, the regionals as well. And, obviously, you've seen the power of Detroit, Borgata and our ability to ramp with National Harbor coming online this year. So, we feel good about directionally where we're heading overall for 2017.
Felicia Hendrix - Barclays Capital, Inc.: Thanks. I think just to be clear because I might not have been clear, I was really more talking about second half because you gave the guidance in the deck, I saw that, but you guys – you had the upside in the first quarter, flattish in the second quarter. So, I just wanted to kind of confirm that you do actually see growth in the second half.
Daniel J. D'Arrigo - MGM Resorts International: Yes, we do.
James Joseph Murren - MGM Resorts International: We do. Yeah. The biggest change from that deck is the shift of the opening of Cotai, Felicia. But operationally, we remain on track.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Great. And then you completed your PGP program ahead of plan. So, I was just wondering if you could talk about what drove the acceleration. And then as you think about the next several years, how should we think about profitability drivers with that program being completed?
James Joseph Murren - MGM Resorts International: Well, do you want me to do it, or Corey, you want to do it.
Corey I. Sanders - MGM Resorts International: You start and I'll...
James Joseph Murren - MGM Resorts International: I'll start. So, the way we were able to upsize it and get it done so quickly is to create top-down focus in this whole organization. It wasn't an initiative that was sidelined by a handful of people, it was pervasive throughout the entire organization. And there's no one here at this company that is not acutely aware of what we've been doing, now I'm talking tens of thousands of people. So, it takes a very coordinated effort, it also takes a very focused effort in the project management office, that has since its inception been led by Jeff Gebben, who is a rock star. And – so, we went into this with good guidance from other companies that are Fortune 100 companies that really helped us a lot. We went in this with good guidance with Bain as our consultant. And we have really taken it on-board as a change of our lifestyle here. And it has led to not only what you saw financially, but it has led to a morale accelerator here and really a cultural boost. And so, we believe that this is a program that's now just part of our life. As it relates to what it means for the future, we – as we said, we think we understand our business quite well and we're expecting 50 basis point to 100 basis point increase in our margins against a pretty good year in 2016. And we don't think we're going to end there. We expect and would be disappointed if we can't grow margins every year over the next three years or four years because we continuously find ways to do our business better. And so, I don't know where this journey is going to end, but it's not going to end this year and I expect continued leadership in our industry in terms of margin, in terms of the absolute margin, and the growth of the margin.
Corey I. Sanders - MGM Resorts International: And what I would add is continuous improvement is now part of our culture, and it's actually part of our compensation plans and everything else. All of our executives are bonused on it. We have a list of initiatives we could constantly and continue to work on that have some pretty good size. And with the change in technology and the advancement in analytics and eventually AI, there's probably numerous opportunities out there to constantly find new ways to make additional EBITDA. The great thing about the PMO office is it gives us the structure to sustain what we have already achieved, but also continue then look for new opportunities which some we could accelerate because they're easier, and some are a little bit harder, but there's still opportunities out there.
Felicia Hendrix - Barclays Capital, Inc.: Okay. That's helpful. Thanks. Dan, just a quickie, on the hold impact this quarter, how much did it benefit and were there specific properties that had higher holds that you want to call out?
Daniel J. D'Arrigo - MGM Resorts International: Mirage held exceptionally well. Bellagio was a benefactor of that hold, and I would say MGM Grand was not a benefactor of hold in the quarter, if I was to look at the highs and lows in the quarter.
James Joseph Murren - MGM Resorts International: That's right.
Felicia Hendrix - Barclays Capital, Inc.: And the total net was?
James Joseph Murren - MGM Resorts International: I think we said in the appendix of the deck.
Daniel J. D'Arrigo - MGM Resorts International: Yes.
Felicia Hendrix - Barclays Capital, Inc.: Oh. I understand.
James Joseph Murren - MGM Resorts International: $16 million.
Unknown Speaker: But that is the normalized, the midpoint of the normal range.
James Joseph Murren - MGM Resorts International: Right.
Daniel J. D'Arrigo - MGM Resorts International: We held couple of basis points just higher than the high end of the range at 25.2.
Felicia Hendrix - Barclays Capital, Inc.: Yes. And that was about mid-teens, right? Mid-teens millions?
James Joseph Murren - MGM Resorts International: EBITDA.
Felicia Hendrix - Barclays Capital, Inc.: In EBITDA.
Unknown Speaker: Yeah. Yeah. 16.
James Joseph Murren - MGM Resorts International: Yeah.
Felicia Hendrix - Barclays Capital, Inc.: Yeah.
James Joseph Murren - MGM Resorts International: 16.
Felicia Hendrix - Barclays Capital, Inc.: Okay.
Unknown Speaker: And that's (47:32) numbers.
Felicia Hendrix - Barclays Capital, Inc.: Yes. Okay. Thanks so much.
James Joseph Murren - MGM Resorts International: Thanks, Felicia.
Operator: Our next question comes from Shaun Kelley from Bank of America. Please go ahead with your question.
Shaun C. Kelley - Bank of America Merrill Lynch: Hi. Good morning, everyone, and thanks for all the additional disclosures. So, I was just maybe wondering with follow-up on National Harbor. I know, it's smaller, but when we think about opportunities in the second half of the year. I think, the game plan there eventually was still to look to partner with MGP for that property. And so, looking at the ramp right now, Jim, what do you think is the right timeline to kind of be considering the next steps for National Harbor?
James Joseph Murren - MGM Resorts International: Sure. So, when we were on the road with the MGP road show, we – last year, we tackled this question. We said that it was our best guess at that time that the most appropriate time to discuss a transaction between MGM and MGP would have been after you have a couple quarters of operations. So, that both companies can properly underwrite what the right valuation would be. And I think that's exactly are the timetable that we're on today. National Harbor has done everything and a bit more than we had hoped it to do when we built it last year. The trajectory is exactly what we would have hoped to see. The upside is very apparent to us in terms of its cash flow potential and the real estate value of the asset is unquestionably pristine. And so, I would expect that we would hold to that time table that we discussed on the road show and start having robust discussions this year as early as the third quarter.
Shaun C. Kelley - Bank of America Merrill Lynch: Great. Thank you for that. And then, I guess, the second area, it sort of goes along with the same idea is obviously through the Borgata transaction MGM actually increased its stake in MGP and we continue to hear from investors that liquidity at MGP is one of the bigger challenges for possibly people not actually owning more of that company. So, curious for MGM's appetite to possibly either proactively sell down there or continue to look for or do you expect to think that the opportunity there is really going to be to shrink MGM stake through third party growth on the MGP side.
James Joseph Murren - MGM Resorts International: Yeah. So, I think that as an MGP shareholder. I like the scarcity value, and I like my position, but we do believe that MGP would benefit from and would be definitely benefiting from more liquidity and that is absolutely a goal of MGP is to increase its public float and it will do so because James Stewart who I'm looking at and Andy are aggressive young men and they're out on the prowl and they will be acquiring assets, and I'm sure they will be acquiring assets that MGM Resorts has nothing to do with. And they will be raising equity to do that. I also believe that even in a transaction with MGM Resorts, it's something that MGM Resorts should look at and allow for us to return cash to our shareholders rather than take back OP units just as a matter of course. And so, I think that between the ROFO assets, which we can always tailor in terms of our consideration, in terms of OP units or cash, and third-party transactions, the public float of MGP will go up pretty profoundly over the next several years without MGM Resorts having to or wanting to do a secondary just for secondary's sake. And so, I think that the objectives of the investors that would like to see more public floated MGP will be achieved through what I believe to be very substantial growth in that company and growth that will be done with the balance sheet rigor that Andy and James have promised.
Shaun C. Kelley - Bank of America Merrill Lynch: Great. I think it's really clear. Thank you very much.
Daniel J. D'Arrigo - MGM Resorts International: Thanks, Shaun.
Operator: And, ladies and gentlemen, our last question for the day comes from Robin Farley from UBS. Please go ahead with your question.
Robin M. Farley - UBS Securities LLC: Great. One Vegas question and one for Macau. In Vegas, can you just remind us how the convention mix, the percent is tracking for 2017 overall versus 2016? And then your comments, you talked a little bit about pacing in 2018 like behind in Q1, but the rest of the quarters comparable. So, where would you expect 2018 overall, that mix to end up versus where you think 2017 will be? Thanks.
Daniel J. D'Arrigo - MGM Resorts International: So, Robin, for 2017, we feel that – and remember, we're coming off a record year in 2016, that will be at least as good as we were in 2016. Our goal is to be a touch better than that. So, we finished up 2016 at 19% mix. Where our goal is to be 19%, kind of 19.5% kind of range for 2017 that we're on pace for right now.
James Joseph Murren - MGM Resorts International: And that would be our 2018 goal also.
Robin M. Farley - UBS Securities LLC: Okay. So, in other words, the 2018 mix kind of similar to 2017 mix because of the CON/AGG comps, is that fair?
Daniel J. D'Arrigo - MGM Resorts International: Correct.
Robin M. Farley - UBS Securities LLC: Okay, great. And then for Macau, I'm just curious if there was any collection that you had reserved against that might have ended up helping EBITDA. We saw that at some of the other operators in Macau that some collections that had been reserved against already ended up, and then – so the gain kind of runs through and helps EBITDA. Just wondering if anything like that?
Grant R. Bowie - MGM China Holdings Limited: Yes, Robin. There was some, about $3 million, but that was – that's relatively small within the bigger scheme of things.
Robin M. Farley - UBS Securities LLC: Okay, great. Thanks. And maybe just a last question on Macau. With the concession set to expire in 2020, do you have a thought about when those discussions might begin with the government about the renewal process, or the revisiting process for that, is that something that you would expect to happen in 2018, or sooner?
Grant R. Bowie - MGM China Holdings Limited: Well, I think, the bottom line is as far as we're concerned, we are working on the renewal every day. And I think that's what's really important. And the most important component of the renewal process for us is getting Cotai opened successfully, demonstrating our commitment to the marketplace and continuing to develop all those things we're looking at. From everything we are hearing, all the gaming concessionaires are obviously very focused on meeting the expectations of the government. But at the same time, I don't see that there is much of an incentive for the government to move too quickly on the other side of that agenda. But I think there is no indications that we've seen or heard, that suggests that there will be significant changes to existing conditions. However, we all need to work on it every day and we just need to commit ourselves to delivering on the expectations that have been set for us.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you very much.
James Joseph Murren - MGM Resorts International: Good. And thank you, Robin. I'd add. It's Jim. Grant and I were together with senior officials only recently; we got very good feedback, not only about our Cotai project, which is really – I hope you had a chance to take a look at some of the run. It is really coming out beautifully. And it is going to open this year in the fourth quarter and probably right around – right after Golden Week, probably. But it's going to open this year for sure and it's going to be very spectacular. And there's a high-degree of enthusiasm in China and in Macau for that opening, as well as the continuation of MGM's presence in the marketplace. So, we feel that's critical to us, particularly as MGM is spending increasing time in the region as we go from Macau over to Japan, where I seem to be about every month, Bill. And when I'm not there, you're there.
William Joseph Hornbuckle - MGM Resorts International: (56:38).
James Joseph Murren - MGM Resorts International: And, look – and maybe that's a good way to finish this. Japan, as we all know, is the largest potential opportunity that has been presented to gaming operators globally. It has the promise of being a spectacular market and all indications are that the government is moving deliberately toward the ultimate passage of the implementation act, which would lead us into an RFP period. There is all kinds of game theory around this in terms of how this is going to play out, and some actually believe they have the "pole" position. But I could say a few things very confidently. One is that MGM is extremely active in the country, that our values, our track record of being great partners, whether it's at CityCenter, or National Harbor, or Macau, is well received. Our ability to design and deliver architecturally iconic, culturally relevant, and environmentally-friendly resorts has not been lost on everybody that we have talked to in Japan. And we believe that this is going to be the most competitive process that the gaming industry globally has ever undertaken, and that the only thing we can promise our shareholders is that we are going to outwork everybody. And we think we have as good a chance, if not a better chance, than anyone. But make no mistake, when the questions were talked about throughout this call about capital allocation, this company is running this company to grow its cash flows to create that fortress balance sheet to maximize our free cash, and will not distract itself on other gaming opportunities, other growth opportunities that would derail what we believe to be the single greatest potential opportunity that we are fortunate enough now to have the balance sheet, the operating expertise, the scale, the development and operations people and the brands to be able to be a leader, at least a leader in that competitive bidding process. And that is we got our eye on that prize and we're not going to lose sight of that. So, with that, I think, we've come to our end. We all – as always, appreciate the participation. And we'll all be here to answer any follow-up questions that you may have and please enjoy your day. Thank you.
Operator: Ladies and gentlemen, with that, we will conclude today's conference call. We do thank you for attending. You may now disconnect your telephone lines.